Operator: Ladies and gentlemen, welcome the video conference of Companhia Paranaense de Energia - COPEL to discuss the results referring to the fourth quarter of 2023. This video conference is being recorded, and the replay can be accessed in the company's website, ri.copel.com. The presentation is also available for download. We inform that all participants will be in listen-only mode during the company's presentation. And then, we will begin the question-and-answer session when further instructions to participate will be provided. Before proceeding, I want to stress that forward-looking statements are based on the beliefs and assumptions of the management of Copel and on information currently available to the company. Forward-looking statements may involve risks and uncertainties as they refer to future events and therefore, depend on circumstances that may or may not occur. Investors, analysts, and journalists should take into account that events related to the macroeconomic environment, the sector, and other factors may cause the results to differ materially from those expressed in such forward-looking statements. Today with us are Mr. Daniel Slaviero, CEO of Copel, Mr. Adriano Rudek de Moura, CFO of Copel, as well as the officers of the subsidiaries. They will all be available for the Q&A session. Now, I would like to turn the floor to Mr. Slaviero, who will begin the presentation. Mr. Slaviero, please go ahead.
Daniel Slaviero: Good morning to all. I'd like to thank all of you for joining us in our video conference call. On the eve of celebrating 70 years of existence, the results of Copel in 2023 reinforce some of the perennial hallmarks of our work since its inception. Innovation, sustainability, financial robustness, and the permanent commitment to our customers. I have the honor to share with you the results of a historical year from both the institutional standpoint and the financial standpoint. Our EBITDA totaled for the very first time the amount of BRL5.8 billion in one year, considering recurring items and discontinued operations. This achievement underpins our strong position in the market and the effectiveness of our actions for Copel's sustainable growth. This also reflects the relentless focus on the excellence of all of our operations and on continuous improvement in the servicing of our clients. This is the beginning of a new era. With the appreciation of our shares in recent months, we have reached a market cap of BRL30 billion. The operation to transform Copel into a corporation was the second largest utilities offer in the western world in 2023, raising more than $1 billion which led us to be recognized by LatinFinance as Deal of the Year in one of its categories. I would like to highlight some of the relevant data from our operating performance. 28% regulatory efficiency at Copel distribution, adjusted EBITDA of BRL3.5 billion at G&T and Copel Mercado Livre remaining among the largest traders in the country. In line with our prudent capital allocation strategy, in 2023, we made the largest investment in Copel Distribuicao’s history with an investment of BRL2 billion to modernize, expand, and automate Parana's electricity infrastructure. There are also two points that we were very proud of as regards to innovation. Our Corporate Venture Capital fund made its first contribution to the Move company, an electromobility startup in a round led by Intelbras and Copel. I would remind you that we are committed to investing a BRL150 million over the next 10 years in our CDC and open innovation with this ecosystem. In the ESG agenda, we have moved up to the A minus category in the carbon disclosure project, CDP. We remain steadfast in the execution of our strategic plan to create value. In this regard, I would like to update you on the progress of the main initiatives of Copel Corporation. In terms of people, the priority is to align executive compensation with the company's long term objectives. All this work is being supported by an internationally renowned consulting firm and will be presented for shareholders' approval at the AGM or the ordinary shareholders meeting on April 22nd. This will be fundamental for retaining and mainly attracting the new talent that the company needs at this time. We are also working hard to create a new culture at Copel. In the operating efficiency vertical, we are in the process of implementing our plan, and we will begin the second phase now, next Monday, on March 4th, with the ZBB, zero based budget work, in search for more optimization opportunities. The central objective, of course, is to be more efficient and improve the quality of the services provided by Copel. In the capital allocation pillar, we will invest this year BRL6.5 billion, in 2024 alone, of which BRL4 billion will be used to pay the grant bonus and BRL2.1 billion in distribution. Considering that 2025 is the -- 2025 will be the last year of this tariff cycle, the distribution company, this will probably maintain this level of investment or even slightly increase it. This will be deliberated over the course of the year with our Board of Directors. On the divestments front, Petrobras' decision to exercise the tag along in the sale of UEGA was made public. We are awaiting approval from CADE to close the deal. As already mentioned in our Copel Day in November of 2023, it is our intention to recycle SHB and CGH assets in the coming months in addition to the possible derisking of assets that we still have in our portfolio. Lastly, with regard to Compagas, first of all, it should be noted that it is a gas distributor with a concession renewed until 2054. In a state that has, among other characteristics, very low default rates and grew last year alone by 9.1%, according to data from the central bank. We saw the growth of the country 2.9%. And Parana is currently Brazil's fourth largest economy. In other words, we are talking about a super-premium asset here. That said, we still intend to make the sale in the first half of the year, but the priority is not the time frame, but rather maximizing the value of this asset. Because if we don't reach a value that we consider appropriate for the company, we just won't sell Compagas. It's as simple as that. To conclude, Copel is a vibrant company with top, top talent and very much open to evolution. We are excited about our future prospects, and we are convinced that Copel will be one of the main benchmarks of the electricity sector in the coming years. And I'll invite Moura to speak about the results of the third quarter.
Adriano Rudek de Moura: Thank you, Daniel. I would also like to thank each and every one of you for your participation in this 2023 earnings call, which is emblematic for all of us for all the reasons that Danielle has already highlighted. And indeed, delivering yet another quarter with solid results, which consolidates the best year in our history, means to close this exceptional year for Copel and for all of us with a golden key. Now we're fully focused on executing the value creation agenda, which, by the way, is in full swing within the framework of the pillars that were presented in detail at the last Copel Day and highlighted again by Daniel. Considering the financial KPIs, here we see growth in the quarter and in the year in adjusted EBITDA, net income, and cash generation. Adjusted EBITDA includes the discontinued operations of UEGA and Compagas already mentioned by Daniel, which for financial statements purposes have been reclassified as discontinued operations, both on the balance sheet and in the income statement. Once again, I'd like to highlight this record result of BRL5.8 billion, almost 6% up over 2022. In the quarter, in the same vein, BRL1.5 billion, almost 5% growth. I'll detail this result by business later. Cash generation of almost BRL1.5 billion in Q4, accumulating BRL5.2 billion in the year, an increase of approximately 3% over the previous year. And this is -- and then also a record in cash generation. Net income doubles in the year compared to the previous year, BRL2.3 billion in the quarter, BRL943 million, 51% growth. And I'd like to remind you that in 2022, among other non-recurring items, we recorded in Q2 the PIS, COFINS provision on the ICMS, [indeed] (ph), of BRL1.2 billion, which significantly affected the result for that year. Moving on, on recurring items. Here we have a summary of the impact in the quarters and in the years 2023 and 2022, including separating adjusted EBITDA of the discontinued operations of UEGA and Compagas. In a nutshell, the main impacts in the last quarters of ‘23 and ‘22 were the reversal of the impairment of G&T assets of a BRL123 million in Q4 ‘23. Just give me a moment, please. So the reversal of the impairment of G&T assets of BRL123 million and the additional provision for litigation in the arbitration process of BRL51 million in Q4 ‘23. In Q4 ‘22, we had added BRL452 million. It should be remembered that UEGA’s reversal of BRL258 million was also recorded in Q4 ‘23 due to the signing of the CCVA in December ‘23. But in this case, the adjustment is in the discontinued operations line item, but within the consolidated results. Moving on, we present the contribution of each business to adjusted EBITDA. Basically, the EBITDA of BRL1.5 billion in Q4 ‘23 is represented by GeT adjusted EBITDA of BRL900 million, BRL3.5 billion in the year, very much aligned with the year of 2022. EBITDA of this BRL600 million, up 36% compared to Q4 ‘22. And in the year, this broke the barrier of BRL2 billion barrier in the year, up 24% over 2022, a very relevant result. In this quarter, consequently, this had the biggest contribution to the consolidated result. As you can see here, BRL157 million over Q4 ‘22. And here, I highlight the main events. The 8% increase in the grid market already eliminating some impacts. The June readjustment of ‘23 with average increase above 6%. In the test, we also had a 42% increase, almost BRL43 million with other operating revenues, basically leases and rentals of equipment and structures and sharing of poles. And the negative was the increase in the expenses of third party services. One part to meet the emergencies of climate events that intensified a lot in the last months of last year. At, G&T, the main highlights were improved results from the purchase and sale of energy, BRL51 million. GSF in the quarter of around 83% compared to 77% last year, results of the new wind complexes, Santa Rosa, Mundo Novo, and Aventura already included in this result almost BRL30 million. These assets were acquired in January. We had the full impact of them in 2023. We also had this positive the reversal of BRL83 million of a regulatory litigation given the annual resolution in December, which addresses the methodology to calculate MCSD, surplus and deficit compensation mechanism. This was reversed in December. And the negative was the impact of the curtailment of BRL30 million in the wind complexes. In the IFRS concept, in other words, in accrual basis, and the remuneration of transmission assets in the order of BRL21 million, given or due to the reduction in the contract correction indices. In addition to these specific impacts that we saw, now we're going to see in PMSO that all businesses were impacted in this quarter by the increase in profit sharing, PLR, and performance bonuses in BRL64 million basically due to the increase in net income which doubled in 2023, as we have already seen. Moving on. PMSO in more detail. The P is people. As we mentioned, it was affected by BRL40 million, referring to performance bonuses and to PLR, profit share sharing given the net income growth compared to a reversal of BRL24 million in Q4 ‘22. Excluding the impact of this PPD and PLR, there was only a 1% increase quarter-on-quarter despite salary increases in January of more than 7%, and 4.5% in October of 2023 applied according to the collective labor agreement. So in real terms, there was a 2.5% reduction. In other words, a reduction of 71 employees. We spoke about the big expenses of third party services at this, basically, with the increased cost with maintenance of the electric system and facilities. We also have additional costs related to the acquisition of wind complexes Aventura, and Santa Rosa in Mundo Novo. And as provisions and reversals, a good part of this reduction of BRL604 million was the provision for the litigation of the arbitration of BRL451 million in Q4 ’22, in addition to the partial reversal of the impairment of generation assets of BRL124 million due to the revaluation of the assumptions in the calculation as we have mentioned. Lastly, we have the reversal of BRL83 million of the regulatory litigation, which improved the G&T result as I have already mentioned. Now the operating costs and expenses basically in keeping with the previous year. And as Daniel has mentioned, and just to end the PMSO part, the second phase of the ZBB starts now. It is expected they will complete this work by October of this year. Possible additional reductions will be included in our budget in 2025. Now speaking about investments, I think that this has been mentioned. We have the highest level of investments at the distribution company with a focus on the continuation of Parana Trifasico smart grid project. Like to remind you that prudent investments, unitized to prudent investments will be major in the year in 2025. They will be included in the remuneration base of these in 2026. In 2023, the CapEx of BRL2.2 billion does not include the acquisition of the wind farms of Aventura, Santa Joe, Mundo Novo. For 2024, in addition of the BRL2.4 billion already approved to have the payment of the grant bonus of BRL3.7 billion, which will be restated by select interest rate in January ‘24 until payment. BRL6.5 billion, given that it is the last cycle of the tariff review of the DIS. And moving on, coming to the end of my presentation here, I would like to highlight the leverage of 1.9 time mainly due to the BRL2 billion of the primary offer, the BRL2 billion proceeds of the primary offer available for the partial payment of the grant bonus that we mentioned. Naturally, for the payment of the grant bonus and the high level of CapEx approved for 2024, the level of leverage should return to more adequate levels of our capital structure. And so considering our dividend payout policy, I'd like to inform that we submitted a proposal of additional declaration of IOC of BRL978 million in addition to BRL978 million in Q3 ‘23, a supplement of a BRL121 million. The first part was already paid in November. The remaining part, BRL632 million will be deliberated in the ordinary shareholders meeting in April 24 with a cutoff date for payment in June. Again, thank you very much for your participation, and we can now start the Q&A session.
Operator: We will now begin the Q&A session. [Operator Instructions] Our first question comes from Guilherme Lima with Santander. Mr. Lima, you may begin.
Guilherme Lima: Hello, everyone. Thank you for taking my question. You mentioned the dividend payout. You approved the payout of 50%. And imagining the leverage should resume to normal levels after the payment of the grant bonus and the approved CapEx. What are you thinking in terms of dividend payout for 2024? Can we expect a dividend payout at kind of the same level or should it increase? Perhaps you could also elaborate and link this with the process of divestment of Compagas. What has been the competitive dynamic of this process? And given the right of first refusal of the current shareholder, when can we expect the sale of this asset should be expected for this quarter? And once you sell it, can we expect, an extraordinary dividend payout?
Daniel Slaviero: Thank you, Guilherme, for the questions and comments. Alright. Regarding the dividend payout, our policy states, the leverage between 1.5 and 2.7, as you know, determines a payout of 50%. This is our base case to continue to follow this reference in our policy. However, the policy itself provides some flexibility for extraordinary dividends. These are always considered if we have no good investment opportunities. So as a solid company and as a cash generation company, we have to be always paying attention to possible opportunities. Although we have declared that in 2024, in addition to the BRL6.5 billion, we should think about maintaining at least the same level of 2.5, except the BRL4 billion for the payment of the grant bonus. So in the next two years, we are talking about something around BRL9 billion. In addition, we have the capacity auction, which should be announced in the month of March. We have good expectations that we'll have a product [of brittle] (ph). We'll have more detail on that. We'll have a product exclusively for hydro plants and new energies, new powers. So and we enforce [Araucaria] (ph). We have two relevant opportunities. So these things that are in our radar. Other than that, we are talking about extraordinary opportunities. None have has been met or mapped so far. That said, do I have a scenario of investments in the capacity auction? In parallel, in connecting with the second part of your excellent question, well, then we open up even more space for either investments or yes, this is to be analyzed as the process evolves. You asked about the dynamics of the process. Of course, we have the some confidentiality involved here. But what we think is this is a super-premium asset in the fourth largest economy of the country, growing significantly. So in our view, this asset is valuable. It has an adequate value. We are giving space to the market. We gave little more time to get another proposal or more binding proposals so that we can make a decision. I should say, Guilherme, as a conclusion that this is a process we intend to finish, either selling it or keeping the asset, as I said in the beginning, and have this process concluded by the first half of 2024. Our priority is not so much the time frame, but rather maximizing the value of the asset. And like I said, if we don't get of the price that we consider, that Copel considers to be adequate, we believe in its potential. Compagas, in recent years, did not make the necessary investments. Everything was about renewal of the concession. But now we have a fertile soil ground ahead of us to create value with Compagas. So we always discuss the sale of Compagas because of our strategic agenda, decarbonization efforts, and the understanding that we can gain a lot more scale in generation, renewable generation, perhaps distribution, expanding -- to expanding our borders beyond Parana borders.
Guilherme Lima: Excellent. Thank you very much.
Operator: Next question from Daniel Travitzky from Safra Bank. Mr. Travitzky, you may proceed.
Daniel Travitzky: Hello. How are you doing? Well, I have two questions. The first is about the PMSO level. We saw some growth year-on-year, so I'd like you to elaborate what can be recurring events looking forward? We are talking about personnel and third party services. We understand that this increase for certain reasons, but I'd like to know what can be expected in terms of recurring expenses. That's my first. My second question is, how are you seeing in the discussion of the locational signal? When can we expect this topic to be concluded? And how is Copel positioned regarding this issue and this discussion? Thank you.
Daniel Slaviero: Thank you, Daniel. I'll start with the second part, and then Moura will give you more detail on PMSO and [indiscernible] can add. Today, you probably didn't see, there was an interview of Senator Veneziano Vital, an excellent senator. And he, again, spoke about Bill of Law 365. I got surprised, a Northeastern senator talking about wanting this topic to be rediscussed. And this would increase the tariffs for consumers in the Northeast. I think that this is a very bad sign. So what have we done in dealing with the ministry in congress in the end of last year? What we did was show them that this does not make sense. This weakens the regulatory agency. This is a pricing signaling for the agents that is bad. It has been discussed for more than five years. And the biggest argument is that in Copel's specific case, this will have a direct impact in the grant bonus. If this is discussed again, we will need to reevaluate and discuss this with the granting authority. But today, Daniel, our best expectation and information is that common sense will prevail. At the Senate, at the CCJ, Commission of Constitution and Justice and in the plenary as well. We expect that BL 365 will not move forward. That's our expectation. Also because there are new circumstances in this environment as the minister said, to all three MPs that will come, provisional measures and some public statements by the minister that perhaps the time frame of the wind farms might be addressed in the provisional measures and some things could be addressed by provisional measures and peace. And this would alleviate the discussion regarding BL 365. [indiscernible], any comments?
Unidentified Company Representative: No. You were perfect. You talked about everything, about BL 365. And we expect, as you say, as you said, that common sense will prevail and that the normative resolution of ANEEL will be maintained. Regarding the vocational signal of test. Well, regarding PMSO, we are working on two fronts, one that has been spoken in detail in our Copel Day, a reduction of BRL500 million in the next three years. This trend is already in full swing. The big impact of this reduction is in the P line, which will happen with the voluntary severance program expected for August. The impact this year is not so great, but we're going to see a significant impact starting 2025. The other BRL200 million have the initiatives stated and addressed, we are already executing with them. This is cascaded down to the individual goals for the executives, and we expect the impact to be felt starting in 2025 and extending to 2026. The other front is the second phase of the zero-based budget, ZBB, that we started. By October, we should finish this project. It's practically an eight-month project, which will require specific analysis. Some things have been mapped, but we'll do some benchmarking with the sector. I think we can have good references. And new reductions will be presented in our Copel Day of 2024 and these will be included in the budget of 2025. So these two fronts are in full swing, and the impact we had specifically in this quarter. The third-party services. Those were very much focused on climate events. We'll have to monitor that and try to reduce that expense as much as possible, but this is a demand that is not totally under our control. But of course, we are focused on reducing this kind of service. But a part of it, depending on climate change, will need to have.
Daniel Slaviero: One additional point, and you're all free to complement. Even with this strong addressing of climate events. So last year, you followed this. It was the hottest year in our history. And we have felt this, the amount of thunderstorms that more than doubled in the last three years, just in 2023. But to your point, Daniel, this, even with these PMSO investments, and expenditures -- PMSO expenditures to face that, we still had 28% regulatory efficiency. So we also have our forecasting for the next two years to find the optimal point between efficiency and the necessary investments for us to be able to face this new reality that we are dealing with in the sector -- that everyone is dealing with in the distribution sector.
Daniel Travitzky: Excellent. Thank you very much.
Operator: Next question from Mr. Marcelo Sa with Itau. Go ahead, sir.
Marcelo Sa: Hello, Daniel, guys. I have some questions. The first, I'd like to understand your view on the energy market. We saw an abrupt increase in the price of energy with the hydrology status and higher demand. There was an overshooting of prices for 2025, then it drops a little for 2026. And when we speak with the companies and traders, what we monitor is that everyone that was short is trying now to cover their short position for 2025. And there are very few companies with a volume of energy to offset that, one of them being Eletrobras. What we hear is that even Eletrobras is not offering that much liquidity for the market. And the market is impacted by this lack of liquidity. I'd like to understand, have you taken advantage of this moment to sell more energy? Do you see opportunities to sell this energy? And do you see a lot of demand to buy energy? And how much do you think this price increase is sustainable? What can be just a matter of liquidity that ends up distorting the price? There's -- is there a demand to sign new contracts?
Daniel Slaviero: All right, Marcelo. You have an excellent question with several angles. I'll try to slice it and my team will complement my answer. What we saw this quarter is what should already be happening since 2021 if it weren't for the hydrology crisis and then excessive rainfall, which is the early price interfering according to low generation and intermittency of sources. People over the last two years were kind of anesthetized during this period and they kind of forgot that energy is a super, super volatile commodity. So we have last periods with less rainfall than expected in the beginning of the year. The reservoir levels reducing. The trend is that March -- well, in March, we'll bring forward the end, the expectation is that this won't stretch even until the end of March. Well, this is public opinion, okay? This is public information. Everyone shares this opinion. But the trend is that we'll continue to have what almost trust prices and a lot more volatility for 2025 and '26. In 2020, following the end of the last quarter, we were a little more conservative selling a lot more opportunities. During the next video conference, you will see that we took advantage of some opportunities. But always being cautious because we see that the dry season, if the next wet season from September to October, if -- we don't even have to have a severe situation as we had, but we'll have different levels of prices in 2025 and '26. So my point here is that we have to monitor this. We have some windows of opportunities, and we'll have to enjoy these opportunities of peak prices to recompose our average price because the last two years were more sensitive, I should say. And although the company still has a reasonable volume of energy for 2026 onward, our expectation is that we might be reaching a new level, starting now with some peaks and troughs. Regarding liquidity, we don't see critical issues of liquidity. It's much more a matter of price. What we see today is agents, as you said it yourself, agents trying to rebuild their position. They made some moves in the direction, but long term clients are still waiting. At least, this is what we're seeing. We're waiting for some stabilization to see whether -- if this is a new level, if they have a future price need, they'll come back. We believe that we have -- we cannot say that we have achieved a new level, a new high level. But the expectations for 2026 and onward, our opinion is very much aligned with what we have seen publicly and heard publicly from Eletrobras. I don't have anything to add. Perhaps just the same result of that for 2025, the fact is that we should have a new scenario of storage, and this volatility tends to be more present in 2025, and there will definitely be new opportunities for us to contract in even better moments. And we have to characterize La Nina. Temperatures went up a lot last year and now as well. And the rain fall in the North and Northeast was less rain. And Copel, as you said, for 2025, still has energy offering. And we are enjoying the best conditions to negotiate the energy we have available to sell in 2025. So this is a favorable moment for us. We're in the right position to explore the right timing, the best timing to sell. And one last point, Marcelo. We have the expectation of La Nina. The question is how this will impact the reservoirs in the Southeast. Normally, it rains more in the South. If we have the average of what we saw prior La Ninas in the Southeast, if we don't have minimum rainfall, it only reinforces what Kleberson said, reservoirs at lower levels. And if we had an average La Nina or average is strong, because La Nina was very strong. If we have a mid to strong La Nina, it is possible that this volatility of prices will be potentialized. Yesterday, I was talking with the Belo Monte people. The Shingu level is half what they had last year, 20,000 cubic meters per second. This is what's getting into the plant. This is a reflection of El Nino in the North.
Marcelo Sa: Excellent. May I ask another question? I joined the call a little late. I don't know if you commented on this in the beginning. Regarding M&A. There is a public deal ongoing, the sale of AS, and this is an asset that can make sense for Copel to add to your portfolio. Or are you more focused in renewable sources? You already have a lot of HPPs. Are you thinking about the strategy for your portfolio? Could you elaborate? Thank you.
Daniel Slaviero: In the specific asset, in the specific case, which is public, we have stated that we are not participating in the process. We are not interested. Given the right timing of the company, we are now focused on execution of our strategic plan, what we called in the road show, business as usual. But of course, in 2025 and onward and beyond, this kind of asset can make a lot of sense. AS is an excellent company. They have relevant hydro assets. They have wind complexes as well. They are being built and will be completed soon with excellent quality. So it's all about price, but this kind of asset in a not so distant future may make sense for the portfolio. What matters for us is to gain scale in renewable assets, wind farms and solar complexes. But like I said, this asset is not a priority for the company, at least not in 2024.
Marcelo Sa: Thank you.
Operator: Next question from [indiscernible]. He says, where will Copel be in the beginning of 2025?
Daniel Slaviero: Well, Copel will be following our focus. And what we have been saying, Copel will be an integrated company focused on electric power, extracting a lot of value from an integrated operation and seeking to gain scale in our businesses that have a good return on capital. And the company that has increased a lot its shareholder base. In the beginning of 2019, we had 80,000, 85,000 shareholders. Now, we're talking about close to 400,000 shareholders. So this expanded shareholder base is very good given our share trading, especially after the follow-on. And it is also a shareholder base that likes to have frequent dividend frequent dividend payout. They look in the electricity sector and Copel with little execution risk in a company like Copel. Well, they see us as a good provider of dividends with our base case, a 50% dividend payout. And again, depending on the opportunities, things may change. We are seeing that this leverage close to or just under two is what we consider an almost inadequate capital structure. It's not so critical because we have the investment plan, we have dividend payout and it's all diluted with the BRL2 billion in cash of the primary offering proceeds that have not been paid to the grading authority.
Operator: Our next question from Mr. Bernardo Viero with Suno Research. Mr. Viero, go ahead.
Bernardo Viero: Good morning, everyone. Thank you for taking my question. I'd like to know if Copel is evaluating the possibility of another PDV, the program of voluntary severance. And we can expect reduction of other operating expenses, could we expect it coming from other sources?
Daniel Slaviero: And, sorry, the sound cut off a little bit. It chopped a little bit. Bernardo, could you please repeat the question? You sound chopped a little bit for us here.
Bernardo Viero: Good morning. Thank you for taking my question. I would like to know whether Copel's evaluating the possibility of another voluntary severance program or whether we could expect possible new efficiencies in terms of cost and operating expenses coming from other line items?
Daniel Slaviero: All right, Bernardo. When we negotiated with the union, with our employees, the collective labor agreement of last year, which was part of the process to transform Copel into a corporation, that already expected or planned the next five years in terms of PDVs, the PDVs are the voluntary dismissal programs. And we also had some job stability guarantees. So a possible second PDV has a window after the first PDV 12 months later. But the sizes need to be discussed. The extent of the PDV needs to be discussed and the timing. But our priority is to focus on the transition of this first phase. This is a volume that we consider adequate. But it is a great volume of people. So we will have some relocations that will open up a lot of internal opportunities. And this will be a very healthy process of using people, professionals, technicians, engineers, who developed their expertise over the years. And they were stuck, they could not migrate from technician to engineer or other roles because they needed to sit another public examination, as is always the case in the state-owned company. But now it's different. This opens up an opportunity for a second phase. Now general lines have been given, but the detail is to be discussed for 2025, which I think is important to highlight here is that Copel's a vibrant company. Copel has highly qualified employees, but we're also open to more oxygen, new oxygen evolutions. We are open to get the best out of a company in terms of using our people, promoting our people internally and our ability to execute works and projects in a more agile way. A company that needed a bidding process for everything did not have this kind of flexibility. We want to compete on the same footing with the best companies. So we have a company that is 70 years old with an asset base like ours, an integrated operation, a strong position in each one of the areas where we operate, with a technical body of qualified professionals. And with this willingness to evolve, grow and improve, all these elements make us very confident and safe that not only in 2025, '26 and '27, but beyond, we believe that Copel can be one of the great benchmarks, the electricity sector.
Bernardo Viero: Thank you.
Operator: Next question from Ms. [Camille Lima] (ph). She asks, good morning everyone. Thank you for taking my question. Is there any news in the process of migrating to Novo Mercado?
Daniel Slaviero: Hello, Camille Li. Novo Mercado is a target of ours. It's a dream we have, a dream we will pursue and that we'll be successful in. We have not been able to estimate how long it will take, because this issue of Eletrobras and the federal government, that's still a hurdle, because that takes away some of our mobility or the mobility of BNDES being able to support and given the size that they have here at the company and the preferred shares they hold, it's kind of hard to execute, unless taking it step by step. The big advantage is that BNDES was one of the creators of Novo Mercado. And it has, as one of its guiding principles, that all companies should eventually migrate to Novo Mercado. That said, what we have is just public information. This discussion between the federal government and Eletrobras is moving forward well. The minister himself has created a reconciliation chamber. It has a deadline. We're waiting for the outcomes. And we are hoping that this will unfold fast and soon. Once this is sweated out, we will resume discussions with BNDES and the other shareholders to migrate to Novo Mercado. This is our belief. Not just to being the highest level of governance of B3, but also because of the liquidity of the shares, preferred and common shares will become a lot more liquid and this will be beneficial for all Copel shareholders.
Operator: Q&A session of Copel has come to an end. We would like to turn the floor now to Mr. Slaviero for the final statements.
Daniel Slaviero: Well, to end, I would like to thank once again all the people participating. I'd like to greet my colleagues in the management, all Copel employees for the extraordinary results achieved in 2023. 2023 was a historical year, from the institutional standpoint and also from the financial standpoint. On behalf of the officers joining me in this video conference call and on behalf of all Copel employees, from the top, to the frontline workers, I have to say, everyone contributed for us to achieve these results. We are now in a new level of reference. And our expectation is that we'll continue to grow appreciating our shares, as we saw depreciation of our shares in recent months. And we will continue to deliver sustainable per annual results for all our stakeholders. Thank you very much, and have a great day.
Operator: Our video conference call has come to an end. We would like to thank all of you for participating. Have a great day.